Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Bioceres Crop Solutions Fiscal First Quarter 2025 Financial and Operational Results Call. All lines have been placed on mute during the presentation portion of the call with an opportunity for question and answer at the end. [Operator Instructions] I would now like to turn the conference call over to Paula Savanti, Head of Investor Relations to begin.
Paula Savanti: Thank you and good morning to everyone on the call. Welcome to Bioceres Crop Solutions fiscal quarter 2025 first quarter earnings conference call. Our prepared remarks today will be led by our Chief Executive Officer, Federico Trucco; and our Chief Financial Officer, Enrique López Lecube. Both of them will be available for the Q&A session following the presentation. During this call, we will make forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. I refer you to the forward-looking statements section of the earnings release and presentation as well as the recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed circumstances. Please note in today’s presentation, we’ll be making references to certain non-GAAP financial measures. Reconciliations of the non-GAAP financial measures can be found in our earnings press release and presentation. This conference call is being webcast and the webcast link is available at our Investor Relations website. It is now my pleasure to turn the call over to Federico.
Federico Trucco: Thanks, Paula, and good morning to everyone. Thank you for participating in today’s call. Please turn to Slide 3. As farmers know better than anyone else, agriculture is a weather-dependent industry. And while as a company, we are dedicated to helping farmers better deal with this reality, we are not fully immune to these effects ourselves. Total revenues in the quarter were $93.3 million, 20% below the year ago quarter impacted almost exclusively by the lack of rain in Argentina, which still accounts for a significant part of our business. This drop in sales affected our profitability metrics for the period, as Enrique will discuss in a minute. In our case, portfolio diversification in terms of product type and time of use across multiple crops helps us partially mitigate weather effects within a crop season. Yet, like with farmers, there is no better alternative to geographic diversification when it comes to hedging against weather events. Here is where we can see the [indiscernible] this quarter, with contributions from North America and Brazil, including the Syngenta collaboration in that country, growing nominally and expanding 2.5x as a percent of total gross profit. Outside of the financial performance discussion, our technologies continue to be recognized by global agencies. During Climate Week in New York this past September, our bioinsecticidal platform for seed treatments received the prestigious EPA’s Green Chemistry Award. More recently, we were granted long awaited regulatory green lights for HB4 soy cultivation in Uruguay and Bolivia, making HP4 technology the second most broadly approved soybean GMO event after the former Monsanto’s Roundup Ready one traits. During today’s call, we’ll address these topics as well as provide our view on where we stand at the present and on how we continue to learn and refine our strategies to impact global agriculture. Enrique, over to you.
Enrique López Lecube: Thank you, Federico, and good morning to everyone on the call. Thanks for joining us. Let’s please turn to Slide 4. Performance this quarter was marked by a slower than usual start to the high season for summer crops planting in Argentina, driven by a substantial shift of corn acreage into soybeans as well as persistent dry period during the months of August and September. Although rainfall has normalized towards the end of the quarter and has been abundant in October which resumed commercial activity, slow pace in August and September and just in time, purchase behavior took a toll on the first quarter results. Despite other geographies having gained relative importance in the past few years, Argentina remains a decisive end market in terms of shaping our performance in the first two quarter of our fiscal year. On that note, and as Federico just mentioned, we saw good top line traction in the United States and Brazil to markets in which we have been laying the groundwork for growth. Although these are just early signs of our strategy paying out, it is encouraging to get some momentum in the two biggest ag [ph] markets in the world. Also and although at an incipient stage, we started to see some good results coming in from new markets such as Mexico or from relatively recent product launches in markets where we have a historic presence like Uruguay. Despite taking time and effort, diversifying revenues on the geographic portfolio and distribution channel dimensions continues to be an important aspect of our strategy and this quarter proves the value of this approach. Let’s look to the segment by segment breakdown. The most significant year-over-year decline came from crop nutrition which explains more than half of the top line decrease and almost all of the change in gross profit as we will see in a minute. Performance for the segment was primarily driven by lower sales of micro-bead fertilizers in Argentina, where last year’s pest damage on corn from the leafhopper or Chicharrita drove farmers decision to shift corn acres into soybeans this season which resulted in an unprecedented 20% drop in corn acreage in the country. Although our micro-bead fertilizers are technically suitable for both crops, corn demands as much as 3x more phosphate than soybeans, which combined with late planting had quite an impact on this particular product in the quarter in Argentina. Although at a smaller scale than our Argentine business, micro-bead fertilizers saw some momentum in Uruguay which is good to see considering the country proximity to our manufacturing hub. October rains have undoubtedly resumed demand for fertilizers, so late corn planting will be decisive factor on how we wrap up the Argentine season for fertilizers in Q2. Let’s discuss crop protection now where sales were predominantly affected by the slow pace of the Argentine market as dry conditions resulted in less pest pressure and just in time purchase behavior from farmers. However, different than crop nutrition in crop protection, a substantial portion of the sales decrease corresponds to a conscious decision to forego sales with unattractive margins and cash conversion cycles. Particularly in the case of non-core third-party products, we tried to stay away from a market which showed a very slow pace demand matched by a well supplied distribution, which very quickly turned into a highly competitive and price driven dynamic. Staying away from that kind of market in non-core products is well aligned with our increased focus on working capital management and cash generation for the year. And although we still have a long way to go, it is important to highlight that cash conversion has become an increasingly important aspect in decision making. Looking ahead, I think that we are still early on in the season to come to a conclusion for Argentina in crop protection and recent rainfall and weather normalization lead us to believe that it could still be a normal or even good crop season. Like Federico mentioned, the United States and Brazil and Mexico to a lesser extent had a very good quarter in terms of sales, which was achieved with proprietary high margin biocontrol products. As much as I would have liked to see growth in crop protection, trading off high margin buyer protection sales in key growth markets for non-core low margin and capital demanding sales in Argentina seems to me like a step in the right direction from a fundamental standpoint. Finally, for Seed & Integrated products the decrease in the top line primarily reflects lower HB4 grain downstream sales than the prior year. Last year, as you may recall we began a downstream grain sales strategy that had a double purpose of building an industrial channel for HB4 grain on which farmers could rely and also seeking to convert inventories into cash to decrease our working capital position. As Federico will mention further in the presentation we are progressively shifting away from the identity preserve model that built these grain inventories and transitioning into a more conventional approach to HB4 commercialization. This means that going forward low margin grain sales will continue to decrease in the year-on-year comparison. As we recover cash and succeed in transitioning to a more profitable and less capital intensive top line for the seed business. Having discussed sales, let's now turn to Slide 5 and look at gross profit. As I previously mentioned, the drop in crop nutrition sales translated almost entirely to gross profit with micro fertilizers in Argentina driving more than 70% of the overall year-on-year changing gross profit. Within the crop nutrition segment itself good performance in inoculants driven by the agreement with Syngenta, particularly in Brazil, compensated a drop in fertilizer margins and drove a modest margin expansion for the segment. In crop protection the dynamics I just explained for sales translated into a gross margin expansion for the segment from roughly 35% to almost 40% this year. Like I mentioned, in this segment we made a conscious choice to preserve not only margins but also working capital. And finally, in seed and integrated products, gross profit declined by 14% primarily driven by grain sales performance and a slight decline in seed treatment packs margin. Overall gross margin this quarter expanded from 38% last year to almost 40%. Let's now turn to Slide 6 and look at adjusted EBITDA for the quarter. Adjusted EBITDA for the quarter totaled $8.5 million. The combination of the drop in gross profit from crop nutrition and the change in JV results where the most meaningful item this quarter is represented by Synertech, our fertilizer manufacturing JV shows how important the impact from microwave fertilizers was for the quarterly results. One could even argue that microwave fertilizers explain almost in full, the drop of $8 million in adjusted EBITDA. On the other hand, as you can see, tight cost controls, which kept OpEx almost flat and changes introduced to the SIP [ph] business, which primarily explained the improvement in other expenses, net out the slight drop in gross profit from crop protection and seed and integrated products. Finally, let's turn to Slide 7 to look at financial debt. Total financial debt stood at $250 million by quarter end and our cash position remained healthy at almost $40 million. As expected due to the drop in the LTM EBITDA, our leverage ratio increased to 2.9 turns but still below the 3 turns of maximum leverage that we always keep as a target. Moving forward let me just say that in the coming quarters capital allocation will continue to prioritize products and technologies with lower risk and near-term payback periods, which coupled with a more disciplined approach to working capital management, aims to enhance cash generation for the fiscal year while preserving the long-term intrinsic value of the unique portfolio that we hold. With that I will turn the call back to Federico. Federico?
Federico Trucco: Thanks Enrique, and please turn now to Slide number 8. We have last discussed our Burkholderia, the RinoTec platform two calls ago when we reported approval for the first generation bioinsecticidal products in Brazil, which has since granted a label extension to include the more concentrated version historically presented as MBI-306. The CPA award recognizes RinoTec as a seed treatment nematicide and insecticide that utilizes a concentrated version of the active metabolite from Burkholderia, thus significantly reducing application loads, a key feature for seed applied technologies. RinoTec is considered to be readily biodegradable and safer for humans and the environment than many traditional synthetics. RinoTec is also priced competitively to leading chemical alternatives with compatible efficacy. A lifecycle assessment for the current commercial product scored at 9.9 out of 10 with minimal soil, aquatic and human toxicity as well as minimal ecosystem impacts. Continuing with regulatory recognitions, please turn to the next slide. In the last 30 days we have received clearance for cultivation of HB4 soybeans both in Uruguay and Bolivia, completing all pending approvals in the relevant markets of the Americas and adding 2 million hectares to the production approval footprint for this event. We are very proud of the work our regulatory team has done, putting us just one geography away from matching the most broadly approved technology in this crop, despite being the latest to be launched from the list that you see here. Looking ahead to our HB4 seed business and please shift now to the next slide. We are in the process of finalizing a strategy review with two key focal points: accelerating the transition from identity preserve to conventional sales and exploring alternative monetization approaches, both of which we intend to base on partnering more strongly with leading seed industry participants. We believe that by refining our strategy in this way we'll be able to accomplish more predictable and attractive growth while limiting the capital exposure to this effort as we're making cash generation a top priority this year, in which we are already seeing good progress. Where we're also seeing progress is in North America and Brazil where we have had management transitions over the last 12 months and we're gaining momentum despite lingering market headwinds. This encouraging international performance coupled with range now fully normalized in Argentina allow us to remain optimistic about the remainder of the fiscal year. With that, I think we can now open the call to Q&A. Operator?
Operator: Thank you. [Operator Instructions] The first question comes from the line of Ben Klieve of Lake Street Capital Markets. Your line is now open. Please go ahead.
Ben Klieve: All right, thanks for taking my questions. First one here you guys have long stressed the kind of importance of assessing the business on a past [ph] basis instead of a quarterly basis. And given the quarter that you just posted, I'm curious if you can kind of talk about kind of the state of the market in Argentina and the degree to which you expect that these late season rains that you outlined could really be just kind of pushing revenue and earnings from Q1 into Q2. On a high level if you have any kind of expectations that you can outline here for the second quarter and the first half in general, that'd be great?
Enrique López Lecube: Hi Ben, this is Enrique. Thanks for joining us and thanks for the question. Look, I think that there's kind of like two different dimensions on the Argentine market. One has to do with delayed purchasing and sort of like commercial activity, particularly in crop protection resuming after the rain falls towards the end of the quarter and almost significantly in October where they were abundant, I would say. So we are seeing increased activity and like I said, I think that we are still sort of like in good shape to have a good crop season, particularly in crop production and then also in the seed integrated products where we report the seed treatment packs. So I think that that plays out, as you said in the Q1, Q2, sort of like a dynamic. On the fertilizer front that's different because it has to do with corn planting. So what we are seeing now is that with this recent rain activity, farmers are already being tempted to get into sort of like late season corn planting, which usually happens in November and December. So that will be decisive for us knowing whether for fertilizers this was a push of sales from Q1 to Q2 or actually foregone sales because of actual lower acreage in corn. So those are two different dynamics. I don't know if Federico, if there's anything else you would like to add.
Federico Trucco: No, I think that's right on. That's where we are probably paying more attention on the fertilizer front. And again this is not – we are actually gaining market share on these – on these particular technologies. It's just sort of the dynamics of summer crops and sort of the shifting away from some acreage that occurred last year from corn to soybeans.
Ben Klieve: Okay, very good. I appreciate the comments from both of you. A couple other for me, one, Enrique, you noted some tailwinds here from the Syngenta agreement. Can you just kind of elaborate a bit on your expectations for the seasonality for that agreement now that that has shifted to a purely product based agreement? Can we expect some kind of real concentration within any particular quarter is going to be pretty flat throughout the year?
Enrique López Lecube: Yes, yes, that's a good question, Ben. So like Federico mentioned, Brazil was an important market for Syngenta in Q1 and will continue to be in Q2. So there's a high season happening there. I think that as we are well aware, Q3 is a slow quarter and Q4 is when we probably get some revenues booked in the Northern hemisphere where we saw Syngenta in the past, with very good performance in Eastern Europe in particular. So a seasonality – with regards to seasonality, I would say that that's the case. Always bear in mind that we have sort of like a different dynamic between profit sharing that is actually when the product is sold in the end market versus the supply of that product. So when we supply that product to Syngenta, we are booking sort of like revenues under supply that is very, very low margin. And that's just the moment that we ship the product to them. Then when they actually make the sale, that's when we get the final profit sharing from them. I don't know Federico, if there's anything.
Federico Trucco: What I would add to that is that in the first two years there was a transitioning process that in our case meant that the third quarter was in a way overrepresented in terms of the final economics that we got from the Syngenta agreement, so that people are reminded of that agreement, that is a 10-year agreement on mostly our inoculants globally, except for Argentina and the biofungicide that we have for Europe once it becomes available. And it's an agreement that has a commitment of $280 million in profits, $50 million of which came in the form of upfronts in the first two years where we were transitioning to Syngenta. And the rest will come in the form of minimum profit sharing on an annual basis. So what we are seeing now is that there's a more even distribution of the profit sharing from quarter-to-quarter and this is no longer heavily located in the third quarter as it was in the prior two years. I think in the current quarter we more than doubled what we had last year coming from Syngenta on a profit sharing basis. And then the Brazil business, which was historically very significant in the fourth quarter because of the change in farmer behavior, now it's becoming more relevant in the first and second quarter when we're talking about our fiscal year. So we still have some of that profit to be collected in the coming quarter and then the rest of the world, I think will fall in the third and fourth quarter in a more evenly distributed manner. We're very pleased with sort of the state of the relationship. We know we've launched this collaboration at a time that was challenging in some of these geographies. The U.S. and Brazil have been very difficult over the last two years, but we are now seeing dynamics becoming more positive and we are getting that the P&L as well. So that's what I would add.
Ben Klieve: Okay, very good. That's helpful again from both of you. And you just addressed my last question, so thanks for taking my questions. I'll get back in queue.
Operator: Thank you. The next question comes from the line of Kristen Owen of Oppenheimer. Your line is open. Please go ahead.
Kristen Owen: Good morning. Thank you for taking the question. I wanted to dovetail on some of Ben's questions, mostly on the cadence first half versus second half or how we're thinking about the second quarter. I appreciate that we've now seen some rain and that's improved at least a little bit of spending in some categories. But can you help us understand from our willingness to spend, like what are spending cycles looking like right now? Can you give us a sense of maybe just the sentiment on the ground as we go into the second quarter?
Enrique López Lecube: Hi, Kristen, this is Enrique. Thanks for joining us and thanks for the question. I think that that is an important question, particularly for us in Argentina, where we are probably more dependent on that dynamic. Like Federico mentioned on the international front, we have probably a couple more degrees of distance with the farmer in Argentina. We're very linked to how they behave. I think that farmer sentiment is gaining momentum was kind of like a low morale with the lack of range. It's the sort of, again question mentality and then that was taken out when rains resumed and did so in good shape in October. So people are getting excited, obviously are cautious. I don't think that we will be seeing big swings, but I would say that the sentiment is shifting from cautious to optimistic. Also, remember one thing, I mean, Argentina is probably the one market in the world where farmers still have a cushion that can be make available to them – made available to them by third-party essentially the government. So if export tax duties are lifted, at least partially that has a big, big impact on profitability. And there's somewhat of an expectation on that. So I would say that it's building up, wouldn't expect big swings but things are looking good.
Kristen Owen: Yes. And. And we didn't hear you, you talk. Oh, sorry. Excuse me.
Enrique López Lecube: No, no, go ahead, Kristen I had – I wasn't going to add much more.
Kristen Owen: Oh, I was just going to – I was just going to follow-up on leafhopper. We didn't really talk about that, so that pressure as a follow up to that question? But then I have a separate question.
Federico Trucco: Yes, I mean, of course that the leafhopper was kind of like a big driver for the corn acreage drop that is unprecedented. I don't think that we can remember in the last 20 years a shift of this magnitude from corn to soybeans. Now, I think that as those concerns have been removed, and that has to do mostly with frosts. So if there was enough frost for the plague to have been killed by cold, essentially, which is the one reason why this is not a permanent issue in Argentina and it is in Brazil, I think that there are sort of like, there's some reasonable expectation that there can be a comeback in late corn planting. And that is essentially what you see in farmers discussions in the forums that they have, whether it would be prudent or not to get into late corn planting. The good thing is that from an economic standpoint, I think that the economics are there for them to make the decision. So that's important to us, particularly for the microwave fertilizer piece. I don't know if you have any other remarks on the leafhopper.
Enrique López Lecube: No, I think it's that obviously the companies are working on sort of scaling up the hybrids that have more inherent tolerance to the best. And we won't see that in the current cycle, but we will probably see them become more available in the next campaign so that they provide an incremental option to manage years where the pest might have some pressure. And then there are management practices that farmers can implement also to mitigate that risk. I think we probably will see a more normalized corn acreage in years to come after these tools become more broadly available.
Kristen Owen: That’s incredibly helpful. Thank you. My last question here is just related to HB4. We talked about this last quarter, the transition in the business model moving quicker, especially in HB4 soy to that asset light more trait like model. Understanding it’s only been, call it 10 weeks, 12 weeks since we’ve had that discussion. I’m just wondering if you can give us an update on whether it’s internally, what the feedback is from that transition? Or externally, what interest in the marketplace looks like for different monetization opportunities? Thank you.
Federico Trucco: So I mean, that’s work in progress and we would like to sort of provide very specific information on how we think that can be done. So I’ll ask you to be a little bit more patient on us being able to give you more specific guidance in terms of how we think we’re going to accomplish that shift. Now, I would say that since we had our last earnings call, obviously, there are things we’re doing internally to make that happen. But also we have engaged more, the industry has engaged more proactively with us to look for opportunities to also make the existing channels available for these more conventional approach. And I think we should be able to provide more specific information in the near time.
Kristen Owen: Thank you.
Operator: Thank you. The next question comes from the line of Kemp Dolliver of Brookline Capital Markets. Your line is open. Please go ahead.
Kemp Dolliver: Great. Thank you. First question relates to the increased focus on cash flow. And for instance, it looks like your days receivable stabilized this quarter versus the June quarter. And so, how should – what are your expectations for the impact from this is measured by operating cash flow because that’s essentially the bottom line here for you?
Enrique López Lecube: Hi, Kemp. This is Enrique. Thanks for joining us. And thanks for the question. That’s a good question. Yes, of course, I mean, I think that in particular, if we want to turn from having sort of like consumed cash flow last year to being a net cash generating entity this year, working capital probably plays the most significant role. Then there are other aspects like we mentioned and Federico touched upon it and myself did as well on capital allocation. But working capital in particular is a big item. So accounts receivables and inventories are first in line of course. If you look at our numbers, you will see that even as we got into the high season, and of course that we had less sales than anticipated, but even with us getting into the high season, inventories went down. So there’s work that goes behind that, that is particularly related to us trying to be as just in time as possible when it comes to inventory availability for sales. That’s one. And the second one is of course, accounts receivables, which have also gone down from June to September, one could expect that that’s the case if we are collecting. But remember that in particular in Argentina and Brazil, those are two markets where days of sales outstanding are probably the two markets that drive the average up. So sales in the U.S., in Europe, even in Uruguay are shorter in terms of days of sales outstanding. So the fact that the overall accounts receivables number went down sequentially from June to September means that there’s also a big, big focus on us collecting as much as on selling. So that’s something that we have implemented internally. And then I would say that cash conversion cycles as a framework has become increasingly important in the decision making process. So when we’re thinking about either entertaining a particular business with a distributor or when we’re thinking about growing a product or investing in a registration, we’re also thinking about how long that investment or even spending will get converted into positive cash flows. But the expectation for the year, Kemp, to be concrete is that we turn from negative into positive cash generation. And that’s something that will require us being focused on this throughout the year.
Kemp Dolliver: And just to follow up on that with regard to receivables, since that’s the most delicate item, do you intend to reduce DSO by the end of the fiscal year or just stabilize it because you can achieve improvement in cash flow by just stabilizing DSO? But you still have the issue of that that’s essentially a one year benefit and you start growing again, it doesn’t – it still drags on your performance.
Enrique López Lecube: Yes. Yes. Yes. Yes. That’s a good point. No, we’re aiming to have sort of like a structural change and for this to be permanent. Now DSOs for this business in particular are tricky because it depends on how sales are sort of like progressing and even more so if you are in a growing business. So what I would say to be concrete is that we are aiming for the shift in the approach to be something structural and more permanent so that positive cash flow generation is something that we enter into and we don’t get out of it in the following season. How that translates into DSOs, I think that will kind of like depend on the last 12 trailing months and how we think of the following season. Just because of what I told you, Argentina and Brazil are tricky because they have usually, depending on the product DSOs that might go from 120 days to 180 days or even 200 days. And that’s what we’re trying to keep away from those long cash conversion cycles in low margin products, which at the end of the day, in a context of rising rates, don’t make sense.
Kemp Dolliver: That’s great. Thank you. And to shift gears quickly on HB4, how did that do year-over-year? Is it still growing or because of the decrease in downstream sales, it actually declined this quarter such that we’ll see growth in subsequent quarters?
Federico Trucco: So – hi Kemp. I think the key here is probably that what Enrique alluded to, the downstream sales will come down as we’re shifting the business model. But those are usually associated to very small margins. And we expect to continue to grow in the upstream front, which is sort of the more profitable side of the business. So at the end of the day, it’s not so much the revenues, but more the gross profit contribution that we expect from this business, which obviously we intend for that to be higher year after year.
Kemp Dolliver: Okay, great. Thank you.
Operator: Thank you. [Operator Instructions] The next question comes from the line of Andrew Steinhardt of Canaccord Genuity. Your line is now open. Please go ahead.
Andrew Steinhardt: Hi, everyone. Andrew on for Austin today. Thank you for taking my questions. Just first here, when do you expect you might have an update for investors on the planned distribution partner for HB4?
Federico Trucco: Hi, Andrew. I think we won’t provide a specific date. We were working on that and hopefully it’ll happen sooner rather than later. We were getting very good traction on different alternatives, but at this moment I think we will stay away from providing a specific date.
Andrew Steinhardt: Got it. And just one more question if I might. Do you expect a recovery in commodity prices or further reduction in interest rates in Argentina and Brazil to be a more significant factor for recovery in your core markets?
Federico Trucco: I mean, the recovery in commodity prices always helps because at the end of the day directly equates to the profitability on farm and that the more money our customers have, the more they’re inclined to sort of get the high technology portfolio of products that we owned. In terms of interest rates, I think different regions have different dynamics. Argentina probably is uncoupled to what you are seeing in the rest of the world because of the past expectations of devaluation and how sort of on the dollarized side that affected interest rates. But then I think the key point here is what Enrique alluded to in his part of the presentation. One third of the final value of soybeans is taken away by a specific tax in Argentina. And that’s very specific to Argentina, you don’t see that anywhere else in the world. So at the end of the day, there’s sort of a third-party decision that can all of a sudden create an incremental value to farmers that exists in this geography and doesn’t exist elsewhere. Actually, agriculture is mostly subsidized in the rest of the world. So I think we’re going to go into an election year next year. Farmers are a core constituency of the government. So there is a realistic expectation that there might be some incrementality to the price situation that might come from sort of an action of this sort.
Andrew Steinhardt: Got it. I appreciate the details there. Thank you again for taking my questions. I’ll pass it on.
Operator: Thank you. As there are no additional questions waiting at this time, I’d like to hand the conference back over to Federico Trucco for closing remarks.
Federico Trucco: Well, I want to thank everyone again for participating in today’s call. Please feel free to reach out to our IR team for further information if you want to double click on anything we have not discussed fully during today’s presentation and thank you very much.
Operator: Ladies and gentlemen, this concludes today’s call. Have a great rest of your day. You may now disconnect your lines.